Operator: Welcome to the K+S conference call regarding the publication of the financial report FY 2017 hosted by Dr. Burkhard Lohr, CEO. [Operator Instructions]. Please note, on Page 2 of the presentation, you will find the disclaimer. I am now handing the call over to Dr. Burkhard Lohr to begin. Please go ahead.
Burkhard Lohr: Thank you. Ladies and gentlemen, a very warm welcome to our full year 2017 conference call. Like always, with me here on the call is Thorsten Boeckers, our CFO; Jörg Bettenhausen, Head of Corporate Finance and Accounting; and Lutz Grüten, our Head of Investor Relations. After a brief presentation, we will be happy to take all your questions. Now let's get started with the comparisons of our financial targets and our achievement on Slide 3. This slide compares our actual results with our financial targets. Despite the fact that 2017 was a transitional year, we achieved our financial targets and can present results which are in line with the latest market expectations. Operating profits, EBITDA and EBIT I were up 11% and 18% on last year's achievements. They only came out of the lower end of the guidance range due to the €43 million negative impact caused by the Sigmundshall closure. Adjusted for this burden, operating profits would have been above the midpoint of our guidance. Furthermore, we improved the adjusted free cash flow as a result of our operational performance and a disciplined CapEx spending. Our dividend proposal of €0.35 per share is in line with our policy to cash out 40% to 50% of the adjusted net income. The proposed increase of €0.05 also reflects our optimism for 2018. Now let's have a closer look on the most important topics on Slide 4. Let's start with potash. Due to our improved wastewater management in the Werra region, we reported only 25 outage days. This was not only a huge improvement on 2016 but also better than previously guided. The product mix in potash nicely improved. However, we are still facing some challenges in our Werra plant after the turbulent times and the trouble we had with our wastewater back in 2016. As a result, the motivation of our workforce was low and illness is still high. In addition, it hasn't been easy to fill vacancies. This has left a mark and we've lost some production in addition to the outage days. It is our focus to fix our environmental challenges and improve the motivation of our people. On top of this, we have implemented a new management team at the Werra and we are once again hiring people to strengthen our workforce. At the same time, the decision to close down Sigmundshall by the end of 2018 was not easy for us but diminishing volumes and vanishing profitability triggered this step. Last but not least, we have taken a very important ramp up step at Bethune. Let's move to the Salt division. Volumes were up by 1 million tonnes. However, overall prices came down as expected on the back of the inventory situation at the end of last year's winter season. Nevertheless, we remain on a very good track to deliver on our salt 2020 target of a normalized EBITDA of at least €400 million. Back to the group level. There's also an important message we want to mention. Our leverage peaked in 2017 and has started to move down to meet our target in 2020 as our strategy, Shaping 2030, is on schedule. We have initiated the bottom up synergy validation and I will give you further details on that at the end of my presentation. Let's move to Slide 5 to talk about the environmental and regulatory topics. As you already know, our environmental challenges and easing environmental tensions are quite close to my heart and I'm personally deeply involved in these matters. What have we achieved so far and what is yet to come? We have improved our wastewater management and reduced the outage days in 2017 to a level below even our previous guidance. With the KCF commissioning, which reduces our wastewater by another 20%, we are pretty optimistic that there's only very limited risk of further outage days in the Werra region. We are currently working on the tailings pipe extension and I'm happy to again confirm that this project remains on time. We have now received the permission to prepare the ground. Of equal importance are the settlements we have reached with Gerstungen and the BUND. Long-lasting disputes have finally come to an end. What's next? Our teams have already started working on measures on how to deal with the situation after 2021 as we have decided not to apply for an extension of our deep well injection. Now let's move to operations and start with the potash trading update on Slide 6. Starting with a well-known chart on the left, you can see that our average selling price has nicely outperformed the MOP price in Brazil and the prices reported by our closest peers for quite some time. This can be explained by our specialty fertilizers which trade at a premium to standard products and contribute about 50% to our product portfolio. In local currencies, our last year's average was slightly up to the back of the MOP price recovery and positive mix effects. However, translated into euro, as shown on the chart, the softening U.S. dollar had an adverse effect. Overall, markets had a robust target to the year, which is also reflected by latest product developments. Despite the strong market in 2017, we still have a positive view on volumes in 2018. The total market should be stable and there's a good chance that overall volumes might be up even further. The visibility of MOP prices into the first half of 2018 remains fairly good and the outlook remains promising. Furthermore, prices in specialty fertilizers have bottomed out in Q3 '17 and are now showing an upward trend. Overall, our portfolio price reported in euro should improve slightly and we expect that our reported cash cost per tonne should have peaked in 2017. So what happens in Salt? Please turn to Slide 7. Let's start with an update on our non-de-icing activities. Volumes in the final quarter were up on last year's achievements, driven by good demand from chemical customers in Europe, as well as higher industrial salt volumes in Latin America. However, the average selling price of €110 per tonne in Q4 was below last year's level due to adverse currency effects but also on the back of further improved copper leaching activities, the profit contribution of copper leaching is remarkable but low pricing has a softening impact on our average portfolio price. Our de-icing business reported a tangible volume increase in Q4. Overall, the mild weather North America was more than compensated by Europe. Again, a nice proof of our regional hedge. Prices in de-icing were down as expected. This was mainly due to the inventory situation in North America at the end of last year's winter season. So let's move to our guidance for 2018 on Slide 8. What are our first thoughts for 2018 and what are the most important moving parts? As of 2018, the focus of our guidance is becoming EBITDA, as this is closer to cash and also more comparable with our historic numbers than EBIT I due to higher D&A at Bethune. First of all, we had a reasonably good start into the year. Bethune is running and we do not expect any further outage days in our German production. On top, the de-icing business had a better start into the year compared to 2017. Therefore, volumes in Potash and Magnesium Products on the one hand but also in Salt on the other hand should be significantly, respectively, tangibly higher compared to 2017. Furthermore, prices of Potash and Magnesium Products remains supportive and even reported in euro terms, should be up slightly on last year's achievements. The decision to shut down Sigmundshall had an impact on our earnings which will not occur again in 2018. Our reported production cost in Potash and Magnesium Products has peaked in 2017 and the Salt division is on track to deliver on our Salt 2020 target. However, based on the current euro and U.S. dollar exchange rate, we expect a negative currency impact on our 2018 group EBITDA. Bottom line, we expect this yet EBITDA to be significantly above last year's achievement based on realistic price assumptions. Furthermore, the adjusted free cash flow should improve further and we are making good progress to deliver on our targets to becoming free cash flow positive in 2019. I'm fully convinced that we have every reason to be very optimistic about the future. The management is keen to show our shareholders the huge potential we have here at K+S. Shaping 2030 is a transformation towards one company. We'll trigger a new era within the organization. Let's move to Slide 9 and then update on our new strategy. What have we achieved so far and what the next steps? As of 2018, the board and our top management have a new incentive scheme and design operational targets to relative performance of our share price versus the [indiscernible] has also become an important part of our long-term incentive program. We are currently in the bottom up sales of synergy validation and can confirm our target to achieve a net figure of at least €150 million by the end of 2020. We are well on track with the different projects and the final concept about our future organization, including amended KPIs. We will be happy to offer you more details on our Capital Markets Day at the latest and you should have already received our Save The Date in January. We know Bethune is not a regular station on one of our frequent - your frequent business trips to North America. However, we, the entire board of K+S, will be happy to host you for 24 hours at our Capital Markets Day on September 5. And now I would like to thank you for your attention. And as always, we are happy to answer your questions.
Operator: [Operator Instructions]. First question comes from the line of Michael Schaefer from Commerzbank.
Michael Schäfer: I'll start with the first one, on the P&M business segment. Looking into the fourth quarter cash unit cost, I'm stripping out the €43 million provision calculated cash unit cost of production of something like €190 per tonne in the fourth quarter. I wonder where you can shed some light on how do you see this item basically developing into 2018? And also may be an update on where Bethune sales volume has been in the fourth quarter, that will be my first question.
Thorsten Boeckers: Yes, Michael. It's Thorsten, good morning. When we look out into 2018 and in order to clarify the metric, so revenues minus EBITDA and all in, we expect unit cost per tonne in potash of a little bit below €200.
Michael Schäfer: And Bethune sales volumes in Q4?
Thorsten Boeckers: Yes. You know that we have almost 500,000 tonnes of production. And we are not going to release quarterly sales volumes for Bethune.
Michael Schäfer: Okay. My second question will be on the Salt segment. You've shown a rather strong performance in the fourth quarter with EBITDA up 1/3 year-over-year. With the indication you provided on the first quarter, with a promising start, you mentioned and compared to last year. So is it fair to assume that the growth rate you have shown in EBITDA in the fourth quarter is at least a good indicator for what we should expect also heading into the first quarter year-over-year?
Burkhard Lohr: Yes. It's always difficult to predict something which we have seen in one quarter for the future because our Salt business is so volatile. I would rather like to elaborate a little bit how we started into the new year. And we have seen several nice events, it started very early this year with a nice snowstorm in - at the East Coast. Then all over of January was very good in the East Coast. And as you know that here we have the highest prices currently. And February and March so far were very good months for the Midwest which was very important. And so we had a lot of mild winters in the Midwest area which could help us in the next season. Europe is doing well. So altogether, this is much better than it was in the first quarter of '17. And now I would say finally after a couple of years, we have seen a normal first quarter again.
Operator: The next question comes from the line of Christian Faitz from Kepler Cheuvreux.
Christian Faitz: Two questions please. I'll start with the first one on Bethune. Basically, back to back with Michael's question. Have you discussed operating rates in Bethune?
Burkhard Lohr: Yes, maybe I should start with one general remark. Last year was the last year where Bethune was a split in a production phase and in a ramp-up phase. From this year, on Bethune is a mine, like a site like [indiscernible]. And we are not going to report production numbers. D&A, whatever we have reported in the past to better understand the production phase. But I can confirm that we are happy with the ramp-up, that we are - that of course the project development also is supportive for what's going on in Bethune. And that we still believe that we will have a positive EBITDA contribution in this year and the breakeven on the EBIT I level in 2019.
Christian Faitz: Okay, great. And then the second question and I'll go back in line, can you please comment on the round about 10% price decline in industrial and consumer salts? What caused those rather wide swings we have seen over the past few quarters? I mean, I reckon and I do realize it's up sequentially, the price. But why the 10% decline in Q4 over Q4 last '16?
Thorsten Boeckers: Yes, Christian. There is, from an underlying market trends point of view, nothing to worry about. But you remember that we had this disastrous Hurricane Irma last year. And this affected especially also these segments. We had - I mean, in this area which was widely affected, people do not longer buy food salt or water softening products. And on the other hand, so this was a volume effect. And on the other hand, because of the emergency agency [indiscernible] taking away most of the trucks we need for logistics in order to deal with the disaster, we have also a shortage in logistics and also rising costs, what we call non stand up sourcing costs.
Christian Faitz: Yes. But why then the 10% price decline? Financial price?
Thorsten Boeckers: There's also an FX effect.
Christian Faitz: Okay, so it's mostly FX in that?
Thorsten Boeckers: Yes.
Operator: The next question comes from the line of Paul Walsh from Morgan Stanley.
Paul Walsh: One question for me. Can you talk about cash flow moving through 2018 and what it would take for you guys to be able to organically delever this year with the step up and EBITDA? Is it possible we get to a situation where you are deleveraging organically at a net level?
Thorsten Boeckers: Yes, Paul. I mean, when you see that we made already significant progress from '16 to '17, we see another significant improvement on the free cash flow level also in 2018. And we do our utmost in order to become more efficient and to preserve cash. We also will see a significantly reduced CapEx again over 2017. We can't confirm that Bethune is turning positively on an EBITDA level. But our guidance remains that we see positive free cash flow in 2019. This means from a net debt point of view, the deleveraging will start in 2019. However, we expect a significant increase in the EBITDA for 2018, having a positive impact on the leverage.
Paul Walsh: That's very clear. And just may be a second quick one. In terms of the EBITDA guidance for 2018, looking at that bridge. We are coming to somewhere above €800 million. Is that a reasonable assessment?
Burkhard Lohr: Yes, I know that I have answered that question already last year. But understand that it's a bit off March now and there are so many moving parts that have to be taken into account to confirm a number or not confirm a number. We are happy to confirm that we see significantly - significant improvement again and we will be more precise in the course of the year.
Operator: Your next question comes from the line of Neil Tyler from Redburn.
Neil Tyler: A couple for me as well, please. First, sort of minor details really. But can you confirm that - or reconfirm that the Sigmundshall site really contributed minimal EBIT in 2017? And therefore, that the closure during the year will have little EBIT impact outside of the provisions in either '18 or '19? That's the first question.
Burkhard Lohr: Yes, let's do it one by one, please. [indiscernible]. Yes, I think we have indicated in the past that, of course, the reason for closing Sigmundshall is that we have reached a point where we are seeing not only the risk of slightly negative earnings contribution but also a slightly negative cash flow contribution. That was the case in '17 and that will be - I'm talking about slightly, that will be the case in the course of this year as well. And as you know, we close by the end of this year. So there will be no impact any longer in '19.
Neil Tyler: Great. Thank you. And secondly, whether you can talk a little bit about the impact on your overseas realized price in '18, both at the Bethune product and, whether you can help us understand will there be a noticeable impact on the realized price? Last - next one and I have a short one after that.
Burkhard Lohr: What do you mean with impact?
Neil Tyler: Well, in terms of the relative realized price that you achieved in your overseas product versus the market prices that we see for instance, in Brazil, in the chart that you showed, should we anticipate any meaningful change in that relationship?
Burkhard Lohr: Yes. As we are talking about MOP standard for China or for Asia, with the first volume from Bethune and granular [indiscernible] into Brazil that as you know, no specialties. So in average, it has a negative impact on our average selling price.
Neil Tyler: Okay. But do you still expect the average selling price year-on-year to improve in euro terms despite that negative impact?
Burkhard Lohr: Yes.
Neil Tyler: Okay. And the third question, you talked about the tailings pipe management in Germany. Should we anticipate anything meaningful in terms of either CapEx or OpEx in '18, '19 versus the 2017 baseline?
Burkhard Lohr: Yes. That is already incorporated in our CapEx guidance or in our CapEx expectations or forecast. I think the rule of thumb, one could say the next three years, we are going to have roughly €100 million CapEx for these kind of developments. It's not only the chief extension in Hattorf, it's [indiscernible] the following year and [indiscernible] following year by chance as we have to enlarge all these in such a short period of time. So we have to - yes, the burden is roughly €100 million for the next three years. That's incorporated for our expectations. We are now talking about '18 now for the - in the €600 million expectation for 2018.
Neil Tyler: Great. And then nothing material in terms of the operating cost?
Burkhard Lohr: No, the operating cost will be reflected in the cost per tonne. And as we've expected here, we have peaked in '19.
Operator: The next question comes from the line of Stephanie Boswell from Bank of America.
Stephanie Boswell: Just really a point of clarification on the EBITDA bridge for 2018. I just wanted to confirm that I have all of the moving parts right. So you had the one-off this year as regards to Sigmundshall we which will add back. In addition to that, there was the Werra outage. And then clearly, FX is a headwind this year if you take the year-to-date [indiscernible], I think it's around €40 million based on your guidance. Are those sort of the three moving parts ex the forecast that we take on volumes, pricing and investing? Is there anything else with regards to one-off that we need to be aware off in the bridge?
Burkhard Lohr: I think you have mentioned the most important drivers of our business. So I can confirm that everything is covered.
Operator: Your next question comes from the line of Oliver Schwarz from Warburg Research.
Oliver Schwarz: Firstly, for the purposes of back to Sigmundshall. I do understand that the earnings contribution of Sigmundshall to EBITDA is negligible. But as you are increasingly guiding on EBITDA, could you flesh out how much or how severe the impacts on EBITDA might be in 2018 and beyond when the mine is shut down? And secondly, how do we - can we expect this process to go ahead? Is there, let's say, a cut off of production by the end of this year and full production until the end of the year? Or is production petering down throughout the year to come to a complete standstill by the end of the year? Just for modeling purposes. That will be my first question.
Burkhard Lohr: Gosh, let's start with the second part of your question. There will be full production until the end of the year and no further production after the end of the year. So it's a real hard cut. And there will be no impact on the EBITDA in 2019 and onwards because we have covered all works that we have to do with our provisions. May be your question was referring to cash flow. That will be small numbers because our obligations are running very, very long and the annual impact is small.
Oliver Schwarz: I was more thinking about in terms of the EBITDA contribution of Sigmundshall. I know that you said that EBIT I contribution is close to zero. I just wondered whether EBITDA contribution is close to zero as well or whether it's a tangible number.
Burkhard Lohr: No, it's close to zero as well.
Oliver Schwarz: Okay, great. And my second question would be the problems we currently have at the Werra site or had at the Werra site in regard to our personnel. Are you able to shift personnel from Sigmundshall to the Werra site to get rid of these problems within 2018? Or is that a problem that is likely to stick with you for let's say, one quarter or two quarters until you're able to hire experienced personnel or personnel that can gain experience while your three or six month period in time to come up to full production level as well?
Burkhard Lohr: Yes, good question. Exactly this, we are working on. We wanted to convince as many people as possible to move from Sigmundshall to the Werra. And I'm quite hopeful that we will be able to do so. Of course in parallel, we have always started hiring people from the market. And I think the most important is you need to understand that we had 220 outage days in '16. We didn't know how it would - how the near future would look like. We had some outage days in '17. Now we have sourced all environmental topics and we can offer them a future, a long-lasting future. And I'm convinced that in the course of this year, we will settle all problems at the Werra.
Operator: Your next question comes from the line of Thomas Swoboda from Societe Generale.
Thomas Swoboda: I only have three questions. The first one is on Sigmundshall and the cash outflow, the €43 million you booked in your P&L last year. How much of this will go out as cash in 2018, please?
Thorsten Boeckers: Thomas, in '18, we will not see an outflow at all. The production stops by the end of this year. And if we have severance payments, this will happen in 2019. And the fraction regarding to the increase of the provisions for tailings pipes and whatever, this is a cash outflow which happens over the next decade actually.
Thomas Swoboda: Okay. So if only a follow-up, so what would you expand - expect for 2019 then?
Burkhard Lohr: For '19, we expect that the good part of the provision that we have built will be cash flow, roughly half of that.
Thomas Swoboda: Half of it, okay.
Burkhard Lohr: Roughly, roughly. And the rest, again, as we said, will last over many, many years.
Thomas Swoboda: That's perfect. That is perfect.
Burkhard Lohr: The effect is already incorporated in our guidance, that we will see a positive free cash flow in 2019.
Thomas Swoboda: Right. My second question is on Salt. We haven't seen a normalized de-icing salt levels for quite some time. So could you remind us what do you think the current normalized Q1 level should be? I'm not asking of what you're seeing in Q1, I'm just asking about normalized level.
Burkhard Lohr: Can you wait until the Q1 call? You need to leave us some food for the Q1 call, please.
Thomas Swoboda: Okay. Then I will throw in a third question and this is on your debt profile. The market has started to price an increasing interest rates. The question is how comfortable do you feel with the maturity of your debt and if there is any safety measures that you can take to push out due dates?
Thorsten Boeckers: This is not fixed by you, right? To have a [indiscernible] of the product.
Thomas Swoboda: We don't do that.
Thorsten Boeckers: I mean, we feel comfortable with the debt levels. I mean, that's pretty clear that we are going to deleverage the group. But it's also clear that when you see the path that we are, there's a lot of work to do but we are on a good way. We also need to refinance ourselves in the next couple of quarters as we see, for example, one bond needed to be paid back in December, which is €0.5 billion. And it was also our strategy to see that we get the refinancing done early enough in order not to become under pressure and we also certainly look like how we can secure interest rates if we really see further movement there.
Operator: Your next question come from the line of Patrick Rafaisz from UBS.
Patrick Rafaisz: Three questions, please. The first, actually the first two around Bethune volumes. I realized you're not going to give us the guidance per plant. But assuming from the 500,000 tonnes of production, you built-up 300,000 of inventories. Do you think these additional inventories will have to be moved in 2018? Or is that a level of inventory you think you keep going forward so that the 1.7 million to 1.8 million tonnes of production will be pretty much equal to sales volumes as well in 2018?
Burkhard Lohr: Yes. So as you know, we have storage facilities in Bethune and in Vancouver and the current inventory is pretty much what we are - what a normal fill of these storage facilities will be in the future. Yes. So there's no further increase and no significant decrease of that volume the [indiscernible] as expected.
Patrick Rafaisz: Okay, very helpful. Thanks. And the second question also relates to the ramp of Bethune. And last year, I believe a lot of the volumes were targeted for Southeast Asia. How do you see the additional volumes coming out of Bethune? And from a geographical mix, how much will go into Brazil? And will you already start up the business with Coke industries for the North American market? Can you shed some light on that, please?
Burkhard Lohr: In the course of this year, we will cover Asia. Southeast - South America and we will start, most probably in the second half of this year, the U.S. business supported by Coke.
Patrick Rafaisz: Okay, okay. Thanks. And the last question on Salt. Now with the more normal winter season for de-icing, where do you see inventory levels? And can you already make some statements around the price implications for the next season? Are inventory levels low enough that you will expect some positive price actions?
Burkhard Lohr: Yes, of course inventory levels came down a bit. And that is always a good implication for the bidding season of the following - or the next bidding season. But it's by far too early to be more precise on that. And the winter is not over yet. There's more snow to come at the East Coast and we are expecting at least a couple of more wintry days here in Europe. So let's wait what the final outcome of this season will be.
Operator: The next question come from the line of Markus Mayer from Baader-Helvea.
Markus Mayer: First question would be on your update on your [indiscernible] etching. I see that the assumed rate is [indiscernible] 20. Maybe you can shed some light on the effect in 2018. Is there an average on this rate. And that also affect we might see in 2019 if you basically [indiscernible] for today there.
Thorsten Boeckers: Markus, yes, our planning base is 1 20. That's right. And when we move - when the dollar weakens to 1 30, this would cost us approximately €40 million on an operating profit level. On the other hand, when it strengthens to 1 10, we would see an increase which is a little bit above that number. And for 2019, I beg for your pardon, but it's a little bit too early to say because we are only - we are not even halfway through with hedging the currencies. So it's a little bit too early to give an indication for '19.
Markus Mayer: Okay. The second question is on CapEx. If I understood rightly that basically, the maximum CapEx number for '18 is around about €600 million. But most likely, a little less? Already, €100 million is set basically for the tailings pipes. Could you split up the remaining CapEx portion? What kind of large projects the CapEx is going to?
Burkhard Lohr: After we've ramped up our, some progress - a lot of progress in Bethune with the ramp up, the new run rate for the group is closer to €500 million. And in addition, we have this €100 million I mentioned earlier. That is what we expect for 2018.
Operator: Your next question come from the line of Andreas Heine from MainFirst.
Andreas Heine: Basically two very small one left. The first is on Salt result in Q4. If you take what you have here as unit costs which were considerably down from what we've seen before, is that a good guidance for what we can assume going forward or were there some special effect? That's the first question.
Thorsten Boeckers: Yes, Andreas, it's always tough to elaborate on unit cost in Salt especially when it comes to de-icing because you have significant movements there based on the sales volumes. When we break it down, we - overall, we made good progress. And when I look at the non-de-icing business, it is certainly rather stable and slightly going down. And structurally also, the de-icing costs, and they are interlinked as you know because we have mines where we produce both products, it is also tending down. But I'm a little bit reluctant to say Q4 is a good proxy because they can be very volatile when the volumes move.
Andreas Heine: And then the last, you always refers to the U.S. dollar-euro exchange rate as being very important. All of the Bethune mine is probably sold in U.S. dollar prices. How was it with the cost base? How much of the total cost base is in U.S. dollar and how much in Canadian dollar?
Burkhard Lohr: 90% Canadian dollar, 10% U.S. dollars. And the sales, you're right, it's 100% U.S. dollar based.
Andreas Heine: And do you, in any means, hedge these Canadian U.S. dollars as well? Or is it still mainly U.S. dollar euro hedge?
Thorsten Boeckers: No, no, we are hedging the Canadian dollar versus the U.S. dollar because this is the relation. We are not hedging translation. We are hedging transactions and this is why we're hedging U.S. dollar versus Canadian dollar.
Andreas Heine: It's not moving that much against the euro and the U.S. dollar. But is there any sensitivity after [indiscernible] or is that not important?
Burkhard Lohr: There's volatility. In the past, it's [indiscernible] parallel. But the volatility between the Canadian dollar and U.S. dollar have significantly picked up. Currency is moving in our favor. Weak Canadian dollar compared to the U.S. dollar, it's good for us. But we should - we will and should have a look on that.
Operator: Your next question come from the line of Knud Hinkel from equinet Bank.
Knud Hinkel: Thank you for taking my three questions actually. Firstly, just to clarify your cost guidance for potash, you said that you expect the cost below €200 per tonne. Does it include Bethune? That will be my first question.
Thorsten Boeckers: It's all in, yes.
Knud Hinkel: All in. Great. Secondly, the quality that you have at Bethune during the ramp-up phase. Are these under control in the meantime?
Burkhard Lohr: Yes. We have solved the problem. And again, we are talking about reduced sites in the ramp-up phase. You will never see any sites where, from the first day one, everything will be run as expected. So even what you're focusing to us, compared to the size of the project, a minor problem.
Knud Hinkel: Okay, thank you very much. And last question, could you provide a kind of outlook for Europe for the pricing in - for CLC and industrial applications and potash? Are there already some visibility? You said that the trend is - was good in Q4. Do you have already some visibility for 2018 as well?
Thorsten Boeckers: We see basically there in parts in relation to the MOP prices. So if we have a positive movement in the MOP price, we also see industrial prices going up. This is - we - when you're referring to specialties, this is why I'm currently a bit confused. When you refer to specialties, you mean probably SOP, right?
Knud Hinkel: Right, yes,.
Thorsten Boeckers: The SOP prices indeed been developing better than we have expected last year. So we have pretty good demand dynamics there and there is no disruption on the supply side. So it's developing better than we have even expected.
Operator: Your next question come from the line of Chetan Udeshi from J.P. Morgan.
Chetan Udeshi: One question was just may be just clarification. I know you've said the CapEx for 2017 was €811 million approximately. If I look at your cash flow statement, the CapEx there is more like €750 million. So why is there a difference between the two? Can you please explain to us? And the second question I had was...
Burkhard Lohr: One by one, please.
Thorsten Boeckers: You see in the cash flow, it's a cash number, obviously which means you also have some parts from last - from the previous year in there which were in the CapEx for the year 2016. But actual payout was then in 2017. So you never have a one-to-one coverage of those two numbers.
Chetan Udeshi: So the question is, the way to ask this is will you have a higher cash outflow again in 2018 even though the headline accrued CapEx might be lower?
Burkhard Lohr: Yes, this is.
Thorsten Boeckers: We do it every year. We do have this difference between cash out and CapEx. And you can expect also to have [indiscernible] effect in 2018 and 2019.
Chetan Udeshi: Okay, that's clear. Thank you. The second question I had was if you had any view on how is the potash inventory in some of the key regions of the world, if you have any view on whether the inventory is at a normal level or there could be some sort of a buildup over the last 6 to 9 months and the prices were sort of rising more because we've seen more recently some softening in demand in Brazil?
Burkhard Lohr: Yes, but that was only for quite a short period. And you know how strong demand was in 2017 and there's no reason to believe that there is a real change of that to see in 2018. And due to the strong demand, the inventory level is on a healthy [indiscernible] on a healthy levels, healthy meeting and not too many inventories available. And that's why he believe we should see demand comparable to what we've seen in '17, may be even slightly higher.
Chetan Udeshi: Understood. And do you have any view on - of course, there have been some planned new capacity additions out of Russia. Have you seen them on the market the yet, I think, in terms of offers or being talked about in the market in terms of availability at all?
Burkhard Lohr: Only new capacity is, which ended the market is Bethune. And we have seen in the period where we have delivered into the market with our new volumes, the prices went up. So obviously, the environment is very healthy currently.
Operator: Your next question come from the line of Joel Jackson from BMO Capital Markets.
Joel Jackson: Could you elaborate a little bit on the guidance that you won't be selling tonnes to Coke from Bethune until the second half of the year? I could be wrong but I think may be the prior expectation was you would have been selling some tonnes around now. Is this about may be some of the granulation capacity or so you could give an update?
Burkhard Lohr: Yes. I would like to elaborate too on that because it touches individual arrangement. But I personally met the guys from Coke only a couple of weeks ago. We are both very happy with the relationship and we are both agreed on that we will start with meaningful volumes. There are some small shipments but meaningful volumes into our contractual arrangement in the second half of this year. And until then, we will continue our shipments into - when we talk about granular products into Brazil.
Joel Jackson: Okay. And is it reasonable for 2018 that you would sell more than 8 million tonnes in the Potash and Magnesium segment this year?
Burkhard Lohr: I would like to answer the question the following. I think we have mentioned in our annual report that our nameplate capacity is 9 million tonnes. Of course, that takes into account that theoretically, we would, we could do 2 million in Bethune. But we are still in a ramp-up. There will be more maintenance breaks than in the normal full - normal year. So we are still a couple of years away from having the normal development in Bethune. And incorporated here also are 600,000 tonnes from Sigmundshall which will only be in our nameplate capacity for the rest of this year. Yes, if you take all these moving parts, you are close to what we are able to do in 2018.
Operator: Your next question come from the line of Marc Gabriel from Bankhaus Lampe.
Marc Gabriel: Three questions if I may. First, could you elaborate a little bit on your assumptions for a higher average selling prices just given your higher share of MOP in 2018? Where should that come from, that higher prices also were reflecting the weakening euro. That's the first question.
Burkhard Lohr: Yes, we have seen pricing picking up almost everywhere and almost on all kind of products. Thorsten Boeckers already mentioned that we - I think we have to say, we're surprised that SOP prices picked up earlier and as expected. And this, altogether, leads to our expectation that we will see, including the Bethune effects the slightly higher average prices in euro terms in our statistics.
Marc Gabriel: Okay. And the total cost of the outage days in fiscal year 2017, what was it finally?
Burkhard Lohr: That was roughly €40 million.
Marc Gabriel: And once again on Salt. If I quite remember, that was in 2013, '14, the winter was a normal winter, what you would call a normal winter for the de-icing salt. Then you had some volumes of 13.1 million tonnes over the two winter course. And afterwards, prices rose by 20%. Now we haven't seen that strong volume compared to the Q4 2013. But is that something which you would expect as a normal winter, this 13 million tonnes?
Burkhard Lohr: I would expect the 13 million tonnes as a normal winter and the most important quarter is the first quarter. And this first quarter was very close to a normal winter. So yes, I'll be optimistic.
Operator: [Operator Instructions]. This was the last question. I will now hand back to Dr. Burkhard Lohr for the conclusion of the call. Please go ahead.
Burkhard Lohr: Yes, I would like to thank everybody to join the call and to ask so many good questions. And you see, the management team here which is - that is always optimistic for the future. We are seeing significantly rising earnings and we would love to welcome you at our Capital Markets Day in September. But in which in between, we'll see you on roadshows and in other calls. Thank you very much and have a good day.
Operator: Thank you. That would conclude today's conference call. Thank you for your participation and have a pleasant day.